Operator: Good afternoon, ladies and gentlemen, and welcome to the Heidelberger Druckmaschinen AG Conference Call for the publication of the first quarter of FY 2025-2026. [Operator Instructions] Let me now turn the floor over to your host, Dr. Schmedding.
David Schmedding: Good afternoon, ladies and gentlemen, and welcome to Heidelberg's conference call on our Q1 results. I would like to convey greetings from Jurgen Otto, our CEO, and at the same time, apologize on his behalf. Unfortunately, he's unable to join us today as he's tied up with an important business matter. Let's start with our first slide, which outlines today's agenda. First of all, I would like to give you a brief overview of how Heidelberg has started the new fiscal year and on a few recent highlights of our strategic road map. After that, Volker Herdin, our Head of Finance, will take you through the quarterly 1 financials. Finally, I will conclude with our outlook. Today, let's start with something enjoyable. The first quarter marked a major milestone in our company's history, Heidelberg's 175th anniversary. After celebrating this impressive birthday with our customers and partners in June, we invited our employees, former employees and their families in July to celebrate together with us. I can tell you, it was great. It was really nice to see how our colleagues proudly guided their families through the various program items and how the children stood in an amazement in front of our printing and packaging solutions. It was visible that this event also had an impact on our employees. It brought our people, the Heidelbergers even closer together. It was strengthened loyalty to Heidelberg was reinforced and the motivation to help shape the future of a company with such a long tradition increased. It was a real success. Let's take a look at how we are progressing. And I would like to summarize the important steps which we have taken in fiscal year 2024, '25, which formed the basis for our start into the current fiscal year. We have formed a fundament on which we are building right now in order to foster the further development of our company. We have drawn up and implemented the Zukunftsplan, which includes systematic reduction of personnel costs. Again, this program is expected to generate net savings in personnel and efficiency costs of up to EUR 80 million in fiscal year 2027, 2028. We have set up a new organizational structure, including introduction of product areas with dedicated P&L and business responsibilities. We have launched comprehensive and precise strategic initiatives, both in Heidelberg's core business and in adjacent areas, such as Heidelberg Industry and Amperfied. And we have already repeated the first rewards. Be it with the reentry into the very large format with our Cartonmaster CX145, be it with the Kennel cooperation with our Jetfire 50 presses or equally important, the positioning of Amperfied as a full service system integrator as well as, and we communicated this on Tuesday this week, our entry into the defense industry. Now let's take a look at the key figures on the next slide. You will see that the measures we introduced are showing effect in the first quarter already. We are seeing stable incoming orders of EUR 559 million. While this is below last year's level, we need to acknowledge that last year's first quarter was strongly impacted by Drupa. We are seeing increased sales of EUR 466 million, up 16% year-over-year. But most importantly, we are seeing a significant improvement in profitability with an adjusted EBITDA margin of 4.4%. This is 6.7 percentage points higher than in the previous year's quarter. Let's take a look at incoming orders first. As I just mentioned, we were able to generate a solid order intake, which will give us the basis for the rest of the financial year. The difference compared to the same quarter last year is explained by 2 Drupa. What we also see on this chart, our book-to-bill ratio is rising on a quarter-over-quarter view, and that is a good sign for the coming months because it means that the demand is there. But before we deep dive into the figures, let's take a look at a few strategic aspects. One topic that naturally interests our stakeholders is the issue of tariffs in relation to the United States. Since Sunday, there is more clarity with regard to the EU-U.S. tariffs. As you all know, negotiations have come to a result of 50% tariffs for now. Irrespective of the negotiated outcome between the EU and the U.S., we have, of course, already looked into this topic and have prepared measures to be able to manage this situation. From a Heidelberg U.S. business point of view, we'd like to underline that circa half of the sales and procurement spend, respectively, are already done on a local-for-local basis. Hence, we do have a significant portion of our U.S. business, which is not affected by the tariffs. Other than that, we have a clear policy when it comes to tariffs, which is supported by the fact that the majority of our contracts state that tariffs can be passed through. Beyond that, the following considerations are certainly interesting. There are no competitors in the printing press industry that have their headquarters or production plant in the United States. Therefore, all manufacturers from Germany and Japanese -- Japan are equally affected by the tariffs. Heidelberg is the only company with a footprint in the United States. Hence, we do have room for short-term action depending on the mid- to long-term outcome of tariff discussions. In addition, within the framework of legal requirements, Heidelberg explores all possibilities to mitigate customs, duties or trade barriers. Amongst others, we regularly examine the possibility of applying for exemptions or make use of the so-called First-Sale Doctrine. Eventually, we see ourselves in a very good position to manage our exposure to U.S. tariffs in the future. Looking at our strategic road map, megatrends such as growing population with higher life expectancy, increasing prosperity, changing consumer desires and sustainability are driving the growth of the packaging market significantly. Heidelberg is well positioned to benefit from these trends, especially in high-growth regions. Heidelberg is further expanding its leading position in the field of packaging with a clear focus on profitable system integrated innovations. In the packaging market, we are, therefore, focusing on expanding our activities along the entire value chain. In the future, we do not only want to produce, deliver and maintain individual printing presses or systems for postpress, but also increasingly act as a system integrator for packaging solutions. This also includes software, robotics and logistics. And we have made one step further towards this strategic picture of being a system integrator in packaging. And I would like to briefly touch on our acquisition of the technology and trademark rights from Polar Mohr. Let me summarize the key rationale for us why we have made that transaction. We have exclusively acquired the technology Polar Mohr post-press products, including patents, industrial property rights and brands. The remaining Polar Group, which will we name after closing, will continue to act as production as assembly partner for Heidelberg. For us, this is a further step towards our strategic key focus that is to further develop our position as system integrator, particularly in the packaging and label sector. You know Heidelberg wants to grow in attractive market segments with M&A activities. With this acquisition, we are underlining our claim to be a full range supplier for our customers with focus in the packaging and label industry, including service and equally important, securing exclusivity in growing markets. As a system integrator, we cover the entire value chain of a packaging printer on a fully integrated and network basis to ensure production is highly productive. And the systems from Polar Mohr play a key role in this context. From a financial point of view, we are aiming at a rather quick payback period and decent profitability improvements given direct access to growth markets in Asia, South America and the Middle East, but also direct access to Polar's supplier base. Switching over to our next strategic focus field, which is the technology segment. Here, we will use everything that once made us a German icon of mechanical engineer, which with the aim of opening up attractive growth markets and building up another business field. We are addressing the megatrends of automation, energy management and security. Our technological deep and system expertise are unique and the basis for it. Here are a few examples that prove this. Each of our machines consist of up to 80,000 individual parts. The central drive in a printing press is up to 40 meters long, a precision movement in large format. In our Boardmaster, our software synchronizes over 200 so motors and thus ensures product quality. 3,000 sensors and actuators per machine guarantee the quality of the print product and are monitored in real time. More than 11,000 production systems worldwide are already connected to our data lab and cloud system. With our monitoring, we guarantee maximum availability and fast responsiveness. We offer round the clock and worldwide service and spare parts delivery within 24 hours. A special infrastructure is necessary for heavy metal mechanical engineer. At our Wiesloch site alone, we have over 100,000 square meters of trained all space. We want to use these capacities and unique competencies in attractive industrial fields and technologies. And another key strategic step for us has happened this week. Just one slide. I think there's a slide, okay, perfect. We initiated the start of our engagement in the defense industry and are teaming up with VINCORION Power Systems. VINCORION is a technology specialist in power systems for safety critical applications with a strong reputation in the civil aviation, security, defense and rail industries. Focus of VINCORION is on hybrid sustainable solutions. And as you can probably predict, Heidelberg, with its technological expertise and reliable and scalable production in Germany is, of course, a perfect match. We are envisaging an end-to-end system partnership covering essential steps in the value chain. For example, in the area of R&D, electronics, assembly and service. For a start, we have entered into a memorandum of understanding that outlines a way into a strategic cooperation. And the first specific project has resulted from this relationship. We have been retained to develop and in the future to produce power control and distribution systems, which are integrated into VINCORION's products. The plan is to find other similar opportunities for us to supply VINCORION. In doing so, we will contribute to strengthen Europe's technological sovereignty in a strategically important area. Clearly, this is a major milestone for our company, and we are planning to build on this initial step in order to develop a further business pillar for Heidelberg. These additional opportunities would contribute to supporting our growth potential of up to EUR 300 million by fiscal year 2029. I will now hand over to Volker Herdin for a detailed look at our Q1 figures. Volker?
Volker Herdin: Thank you, David. Hello, everyone, and thank you for joining us today. Before we dive -- next chart, please. Before we dive into our figures in detail, let me briefly comment on this chart. Since the figures were presented by David already, I want to highlight on the currency effects. As you can see, this had a negative impact on incoming orders and also net sales. So we would have improved our net sales by approximately 3%, so the total is EUR 14 million. I also would like to reiterate on our improved net sales and EBITDA margin position, the latter being a strong sign for our way towards cost and efficiency improvements. The free cash flow in Q1 improved due to a stronger operating cash flow resulting from a better EBITDA of approximately EUR 30 million. The next chart shows the new segmentation starting April 1, 2025. We implemented a new segmentation structure to better reflect our business model and strategic focus. This change is not just structural. It's also about steering economically, enabling growth and eventually unlocking value. A clear governance framework will help us bring transparency, enhance decision-making and sharpen accountability across the organization. Until the end of March this year, our segmentation focused on the customer segments, print, packaging and technology. Going forward, we aim to shift our perspective more towards the product view. The equipment business includes our sheet fed, Boardmaster, Flexo and postpress machines on the one hand. On the other hand, the digital segment comprises the Jetfire platform and the recurring revenue from our lifecycle business. The Technology segment remains unchanged, but now stands out more clearly due to the industrial customer business, particularly in the area of defense. Let's proceed with the segment's performance after 3 months. Incoming orders in the print Packaging Equipment segment declined by 28%. Net sales, on the other hand, recorded an increase of around 42%, supported by amongst other master sales. As a result, adjusted EBITDA increased more than 13 percentage points due to higher sales and corresponding capacity efficiency effects. In the Digital Solutions and Lifecycle segment, incoming orders were around 10% below the strong figure of previous year. In contrast, net sales in the segment remained at the previous year's level. Adjusted EBITDA improved and amounted to EUR 12 million positive. Incoming orders and net sales in the Heidelberg Technology segment were at the level of the prior year adjusted EBITDA improved to about EUR 1 million. Within Heidelberg Technology, Amperfied is constantly transforming its business model to a full service systems integrator with recurring revenues to the regions. Next slide shows our regional breakdown about the most -- 3 most important regions we have. In summary, while we saw encouraging signs in sales in EMEA and Asia Pacific, incoming orders were down in all 3 regions. However, please bear in mind -- the previous year's Q1 was particularly strong due to the true-up, as David already mentioned before. Incoming orders in the EMEA region were around 15% down in the previous year. Net sales, on the other hand, were around 23% higher than in the same period compared to last year. Italy contributed to this by significantly increasing its net sales with the help of a governmental subsidized investment program. Incoming orders in the Asia Pacific region were 23% below the prior year quarter, orders from the industry trade fair, China print compensated partly for the decline in other Asia Pacific markets. Net sales in the Asia Pacific region, on the other hand, rose by 27%. We also see negative exchange rate effects in the mid-euro million area for the region. China was nevertheless able to achieve a 22% increase in sales. Incoming orders in the Americas were also down on the strong previous year. This was primarily due to uncertainties in the U.S. market. Net sales in the region also fell by 10%. However, despite negative exchange rate effects of around EUR 4 million, the United States remained at the previous year's level. Now let's turn to our EBITDA bridge, which shows the changes in our operating profitability in the first quarter compared to last year, which was minus EUR 9 million. In addition to the higher sales volume and the associated higher capacity utilization, the realized efficiency measures had a positive effect on productivity in the first quarter. Personnel costs were slightly higher than in the same quarter of the previous year as instruments such as short-time work from Q1 last year no longer existed. Personnel costs were also impacted by a one-off payment of around EUR 3 million. However, due to our initiated cost measures, we were able to partly compensate this effect. In addition, there were no expenses for the [ Tua ] trade fair. In the previous year, expenses for Tua amounting to around EUR 8 million had a negative impact on adjusted EBITDA. In total, adjusted EBITDA was at positive EUR 20 million after 3 months with no adjustments in EBITDA this quarter. Let's continue with our cash flow, starting with the clearly improved operating cash flow, which results at minus EUR 58 million compared to minus EUR 101 million in prior year. EBITDA improved EUR 30 million. Tax and interest were in line with prior year. Net working capital pension and other operating changes contributed positively. And as a general note, it is worth mentioning that net working capital in percentage of last 12 months net sales has developed positively on the year-over-year base. Coming to the free cash flow. The cash flow from investments amounted to minus EUR 10 million after 3 months. Divestment proceeds were low due to higher income from the sale of machines from the demonstration print shop in connection with last year's tour, where we could sell it for EUR 8 million. After 3 months, free cash flow was EUR 68 million compared to minus EUR 103 million in the previous year, clearly a result of an improved operating cash flow and the EBITDA margin. Last but not least, balance sheet. Let's conclude the financials. First, our equity remained on a solid level at EUR 517 million, representing an equity ratio of 24%. It declined compared to the end of last fiscal year by EUR 29 million due to the quarterly loss and translation effects from currency conversion. In total, the pension provision amounted to EUR 648 million. The interest rate for pensions in Germany remained hereby stable at 3.8%. The payouts were approximately EUR 37 million and the interest is plus EUR 35 million. Moving to the right side of this chart, the net financial position remains positive at EUR 14 million, meaning that cash and cash equivalents exceeded financial liabilities. However, in addition to the still solid ratio, we still have a sufficient headroom in our RCF, which was utilized at only 16% of its volume of EUR 370 million at the reporting date of the first quarter. That means that leads to EUR 312 million available credit line. As we conclude now this section, I would like to highlight some key messages. The incoming orders provide a solid foundation for positive financial development throughout the year. Secondly, Heidelberg sales grew by 16% despite a challenging market environment. Thirdly, cost and efficiency measures started to show an impact of profitability and is ongoing. And with that, yes, I'm concluding, and let me hand it over to David again. Please, David.
David Schmedding: Thank you, Volker. And this brings me to our outlook for fiscal year 2025, '26. Yes. our final chart here, which is on the guidance before going into the summary for today. Based on a solid order backlog and improving short to midterm predictability in terms of global economic framework, we are highly confident in achieving our full year results, both in terms of our sales guidance, which aims at a level of around EUR 2.35 billion as well as our adjusted EBITDA margin guidance of up to 8%. In particular, we expect sequential improvements in our cost situation, especially with regard to personnel cost effects expected to materialize over the next 3 quarters. As we conclude, I would like to highlight some key messages. Heidelberg has made a positive start to the new fiscal year and has confirmed its guidance for fiscal year 2025-'26. Implementation of our Zukunftsplan will lead to continuously improving cost basis over the coming quarters. And Heidelberg's Technology segment makes inroads to the defense industry with the aim to position itself as trustworthy Tier 2 and 3 supplier. Thank you for your attention. And now I would like to hand it back to the operator.
Operator: [Operator Instructions] And we have the first question from Peter Rothenaicher from Baader Bank AG.
Peter Rothenaicher: Yes. Firstly, on the technology segment and the announcement of your cooperation with VINCORION. So there was a statement that the target is with the growth strategy to increase the sales in the technology segment to around EUR 100 million. Is this still the same target now after the cooperation with VINCORION? Or do you intend here to generate higher?
David Schmedding: Mr. Peter thanks for your question. I would like to answer the question as follows. Yes, the target, you're right, it's EUR 100 million target. And as you might know, we are coming from EUR 60 million today on our industry business and the target for the time being stays with EUR 100 million.
Peter Rothenaicher: And then the implementation of the capacity adjustments, personnel cost savings, are you meanwhile through at all your sites in negotiations with the unions and worker representatives? And what one-off expenses do you expect for the current year? And when will this occur?
David Schmedding: So yes, we have -- in the meantime, we have agreements with all German sites for cost avoidance. For the time being, we are at around 80% of the program done here in Wiesloch in our Wiesloch site with, let's say, the cost reduction or cutting down the personnel costs. And in terms of the efforts going ahead, we plan with around EUR 10 million for...
Peter Rothenaicher: And one last question regarding your market experience. So when you talk to customers, how is the situation? Everybody knows and we see this all over in the capital goods sector, there is some uncertainty, particularly related to the tariffs. What is your feeling? Are -- is the pipeline of orders good in the segment? And do you have the impression that this will result in stronger ordering after the tariff situation is solved? Or do you see still upcoming difficult situation in the market?
David Schmedding: First of all, it's good to have clarity on the situation in the U.S. So as of this week, we know that there are 15% tariffs. And this is good because at the end, now customers and we have a clear basis for any decisions going forward. First feedback from the U.S. customers is somehow positive. Nevertheless, of course, 10% is better than 15% tariffs, but customers giving us the feedback now that's a clear basis for any decision. And what we see is the pipeline is good. So we have, first of all, a lot of opportunities, which were holded back over the last weeks due to the uncertainty. Now we see a good chance moving forward to turn opportunities into hard orders. So at the end, first of all, the momentum seems to be getting better. Globally, the situation, of course, it generally is challenging. Nevertheless, the factories are filled on a good level for the time being. And we see the momentum is still ongoing, especially in some growing regions. So we call them dealer markets, Middle East, is still ongoing. South America is doing pretty well. So I'd say at the end, and this is something we have to have always in mind, 85% of our business is abroad, not in Germany. So there's still a good chance, let's say, for good order intakes. And yes, and this is also confirmed by our guidance on the sales level, we are confident to achieve that level.
Operator: [Operator Instructions] And there is one more question from Stefan Maichl from LBBW.
Stefan Maichl: I would like to have two blocks of questions. The first one, do you see your sales target for the current fiscal year being in any kind jeopardized by the weak U.S. dollar we have seen so far in the last couple of weeks? And what order intake per quarter would be necessary to achieve that EUR 2.35 billion sales target you have for this fiscal year? That's the first block.
David Schmedding: So yes, we are confirming our guidance, first of all, the EUR 2.35 billion is confirmed and the weaker U.S. dollar that doesn't hurt us at that moment because it's part of our planning going forward. So at the end, no risk at this point of time.
Stefan Maichl: And which volume of order intake would you need in the next couple of quarters besides the order book you have to reach that EUR 2.35 billion of sales? Around EUR 600 million would be that enough or?
David Schmedding: Around EUR 600 million, we would need.
Stefan Maichl: Okay. And you see the opportunity to reach that in the next couple of quarters?
David Schmedding: Yes, we do.
Stefan Maichl: Okay. So the second one is on your cooperation with VINCORION, very interesting. Can you quantify probably the sales potential from that strategic partnership with VINCORION? And when do we expect the first sales effect? And in which of VINCORION's defense products are your deliveries to be integrated in the future?
David Schmedding: So first of all, we see a huge potential in this area coming -- entering the defense industry. And yes, we pointed out some numbers in the past days. And yes, in our industry segment for the time being, we aim for EUR 100 million target in total. So we are coming from the industry segment today of EUR 60 million. So target is EUR 100 million in this area. But nevertheless, there's further potential, and we will come also in the next call with more details about the expectations here, but the potential is high. First steps are made, first orders are in. And so at the end, let's see how things are developing.
Stefan Maichl: So the potential will be about EUR 40 million alone from the defense business? Or do you expect to have further agreements with other industries?
David Schmedding: So overall, it's a mix of the sales in this segment. And part of this is not just EUR 40 million. This is a mix of the whole industry segment. But of course, we are expecting more, let's say, in this area, and we are working on this into that direction. And from my point of view, VINCORION should just be the first step in this area.
Stefan Maichl: Okay. And when do you expect the first sales to kick in of this defense business agreement with VINCORION? Because you start now with development and integration and is a matter of this year or next year or when?
David Schmedding: Probably significantly, we can say probably next year because at the end, it's a way, as you're just describing. So we're starting with development. We have to building up the capabilities, not in terms of the technological capabilities. But at the end, this industry is somehow special. We have now the first, let's say, made the first step into that direction, clear step with a clear signature and commitment from a first party. But at the end, it's somehow away. We have decided to go into that consequently into that direction. And I'm really confident that there will be also a significant sales in the future, but probably not in this fiscal year in a significant way.
Stefan Maichl: Okay. And last one, in which of VINCORION's defense products your deliveries will be integrated?
David Schmedding: And please excuse, we cannot comment on this question.
Operator: [Operator Instructions] So there are no further questions at the moment.
David Schmedding: So if there are no further questions, so I would close the call. Thank you very much for joining today's call and looking forward to talk to you soon again. Thank you very much.